Operator: Good morning, ladies and gentlemen, and welcome to the Altius Renewable Royalties Q3 2023 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Tuesday, November 7, 2023. I would now like to turn the call over to Flora Wood. Please go ahead.
Flora Wood: Thank you, Jerry. Good morning, everyone, and welcome to our Q3 call. Our press release and filings were released yesterday after the close and are available on our website. Last week, you also saw the announcement of GBR’s new credit facility, so the conference call comes at a good time. This event is being webcast live, and you’ll be able to access a replay of the call along with the presentation slides that has been added to our website on the Home page and also under Investors. Brian Dalton, CEO of ARR; and Frank Getman, CEO of Great Bay Renewables are both speakers on the call and in the Q&A, we’ll have Ben Lewis, CFO of ARR available for questions. The forward-looking statement on Slide 2 applies to everything we say both in the formal remarks and during the Q&A. And with that, I’ll turn over to Brian.
Brian Dalton: Thanks, Flora, and thanks everyone for joining us today. We’re happy to report that our business development progress continues on track despite the headwinds and significantly constrained capital availability in the overall renewable sector. A tremendous amount of change has occurred since we went public in early 2021. However, I feel that we’ve been adapting well and finding ways to make the most of the opportunities that have resulted from every new challenge. I also understand that for you and our shareholders that the downward shift in renewable sector equity valuations has been difficult to experience. For sobering background, the TSX Renewables Index is off by 63% since the time of our IPO. In many ways, what is currently occurring feels a lot like things did in the mining sector, where most of my experience comes from back in 2015 and early 2016. That was when strong balance sheets and weak commodities markets led to the near complete exits of equity and debt capital market participants from that sector. Back then, even the traditionally best and strongest companies were suddenly made very vulnerable. It was a very scary and painful time, to be sure, but in hindsight, also an amazing opportunity. Nor was this more true than for the royalty companies who were able to step into the capital void with royalty-based financing to acquire long-term interest in world-class, long-life, option value laid in operations. In fact, if you look into the portfolios of most of the established mining royalty companies, you will see that many of their current jewel assets were acquired during that window. I believe that the same type of contrarian opportunity is now presenting for ARR and GBR within the renewable sector. And it is why I’m so impressed and excited about the incredible achievement that Frank and the team completed last week with the signing of new green credit facilities. This leverages the strength of the existing fully equity finance portfolio and its liquidity to match contrarian conviction. We believe it will accelerate the goal of adding further long-term scale and diversity to your company. With that, I will hand over to Frank to dig in deeper on the past quarter and the opportunity set before us. Over to you, Frank.
Frank Getman: Thanks, Brian. Good morning. I’m excited to share with you today an update on our continued progress in building Great Bay and its broad diversified portfolio of renewable royalties. Our royalty portfolio revenue and cash flow profile continued to benefit from the addition of operational stage royalties acquired in late 2022. Revenue for the first 3 quarters of 2023 was $7.8 million versus $5.6 million in 2022. And as we projected last quarter, Q3 revenue of $3.9 million benefited from higher merchant pricing due to warm summer weather and increased power demand in ERCOT. As Brian mentioned, we announced the closing of a $247 million credit facility for Great Bay. The financing includes $123.5 million initial term facility, a $100 million Delayed Draw Term Facility and a $23 million, letter of credit facility. The initial term and Delayed Draw Facility has a 5-year term and a 20-year amortization with a 6.4% interest rate for the first 3 years and approximately 6.5% interest rates for the last 2 years, excluding finance and closing costs. We hedged 100% of the interest rate risk for the initial 5-year term and approximately 50% thereafter to reduce refinancing risk. This financing represents a truly transformational achievement for Great Bay. Up to this point, we had funded all of our investments with ERCOT. This financing allowed us to reload and provides Great Bay with significant liquidity to continue to grow its business at an attractive cost of capital with no dilution to shareholders. It also represents a validation and strong endorsement from 2 sophisticated global lenders of our business model and the value we have created over the last several years. It also comes at an opportune time as the current climate in the renewable sector with industry-wide delays and everything being pushed to the right, higher costs, particularly significantly higher interconnection deposits and costs, higher interest rates and cost of debt and lower equity prices creating an environment where there is strong demand for alternative sources of capital, such as Great Bay’s royalty financing. I’d note that Great Bay’s development partners are not immune from the industry-wide delays facing the renewable sector. It’s important to know, however, that while the timing of projects coming online may get pushed to the right, Great Bay’s ultimate return on these developer investments is protected since our capital continues to accrue and results in Great Bay simply receiving more royalties over time to compensate for any delays. On the origination and new business front, we have an incredibly strong and growing origination pipeline. And now we have the capital between the initial term proceeds and the Delayed Draw to aggressively pursue these opportunities. I’d note that the Delayed Draw Facility can only be used on cash flow and royalties so I’d expect we prioritize operating royalties over developer deals in the near term. I also want to make a few comments about the $23 million, letter of credit facility. It’s obviously a relatively small part of the overall facility, but it was important for us to negotiate to include even a small LC facility to start as the problem that ever-growing need by the developers for interconnection deposits even fully refundable deposits is perhaps the single largest issue facing the industry right now. We’re hoping to be able to deploy this LC facility to assist developers potentially both developers in the Great Bay royalty program and third-party developers with posting fully refundable interconnection deposits, allowing Great Bay to earn an attractive essentially risk-free rate of return while gaining an option to acquire royalties on projects once they become operational on attractive terms. It’s early days in figuring out the details of how we might structure an interconnection deposit product, but we’re working hard to figure it out. To sum up, Great Bay is incredibly well positioned with almost 2.5 gigawatts of operating royalties, over 15 gigawatts of wind, solar and storage development projects in our developer portfolio, attractive market conditions for deployment and now a bit of a war chest to seize the significant opportunity. In short, I’ve never felt better about Great Bay’s future. That’s it for my update. I’ll turn it back to you, Brian.
Brian Dalton: And I think that concludes the prepared remarks portion. So operator, maybe you can turn it for our questions.
Operator: [Operator Instructions] Our first question comes from the line of Nick Boychuk of Cormark.
Nick Boychuk: Frank, you kind of mentioned the deployment phase of the new capital. It’s going to be focused on the operating side of royalties. Can you kind of walk through what the pace of the -- both the initial term and the drawdown facility is going to look like?
Frank Getman: Sure. Well, just the logistics of how the Delayed Draw works. We have 3 years to deploy that $100 million. And it’s a portion of the early investment we make, and there’s a formula in the documents of how much we could -- leverage we can put on any particular project, and it’s tied to the cash flows of that project, similar to how they size the original debt. So that’s the timing for our ability to use the Delayed Draw Facility. As far as the pace of deployment, we have -- it’s not an overstatement to say that the company, even companies may not even given us the time today, a couple of years ago, everyone’s clamoring for capital right now. So we’re trying to find the highest and best opportunities where we can earn the best return and the best risk-adjusted return, and we’re moving as quickly as we can. So I would think things should hopefully continue to progress and be able to play that in, hopefully, short order.
Nick Boychuk: Okay. And then just talking about also some of the projects that were moved a little bit to the right. Can you speak at all to the sense of commitment that you have from Enbridge right now to continue to push forward on the TGE deals that they’re responsible for?
Frank Getman: Yes, sure. I mean we’re seeing -- we still have our quarterly updates with TGE and Enbridge, and they are pushing aggressively forward. I mean they are one of the -- if you look at these issues with capital in the industry, they’re one party that’s actually, I think, seeing as an opportunity because they’re -- they seem to be accelerating their pace of deployment in the renewable sector. It’s really -- it’s great to see that this wasn’t a token investment by oil company to say, "Oh, not one renewable stood there." They’re deploying hundreds of millions of dollars into Tri Global and acquiring panels, posting these deposits, I’m talking about they’re aggressively moving forward with their whole pipeline. So while there may be some delays with approvals and things for interconnections fit, I see nothing but strong commitment from Enbridge to support Tri Global.
Operator: Our next question comes from the line of David Quezada of Raymond James.
David Quezada: Maybe just a quick question on -- just in terms of your -- like strategy going forward. Now it feels like there’s been kind of a few moving parts. Obviously, the big influx of capital with the credit facility is great to see plus a move lower in valuations across the sector. Just wondering if maybe, Frank, if you could speak high level about if you’ve made any tweaks to your process, have you like started looking at your target returns? Just any change with this kind of dynamic environment that seems to really favor you.
Frank Getman: Sure. Happy to, David. I guess there’s 2 things that come to mind are, one, that the calls are definitely coming inbound. We are literally flooded with opportunities and people reaching out to us and saying [indiscernible] and more. So I think that we’re now having to prioritize and as I said, kind of high-grade those opportunities and figure out which -- what’s the right opportunities for us in the near term. I wouldn’t expect us to do another developer deal. As I mentioned in my remarks, right immediately, I think that the highest and best opportunity for us right now is probably into operating projects. That being said, if it’s a perfect project with a 20-year PPA, and it’s been levered 90%, that’s probably not a great opportunity for us. That’s really not what we’re talking about. We’re looking for opportunities where we think we can earn an outsized return for the risk that we’re taking. And so I would say, yes, we are -- there’s not a posted price for royalty financing, what’s the clearing price on Bloomberg. So we’re trying to test the market a bit and push our returns, which I think is appropriate given the conditions that we face. So yes, we’re looking to try to achieve the best risk-adjusted return we can for our shareholders while still able to deploy capital into high-quality deals. And that’s another thing, too. We can look at the quality of the counterparties. There’s a couple of different ways that you can look at risk-adjusted returns, the quality of the projects, quality of the team, quality of the counterparties. And then obviously, just the returns from the expected cash flows from the project. And we’re trying to look at all those factors as we move forward.
David Quezada: That’s great color. Appreciate it. And then maybe one more for me. Just on Nova, it sounds like the development pipeline is advancing well. I’m just wondering if there’s any color you can provide on how those individual projects are advancing and just how you see that developing going forward here?
Frank Getman: Yes. We have -- I sit on the Board of Bluestar and to see what they’ve been able to achieve in what, 1.5 years is to build out a 2, 2.5 gigawatt pipeline. And that’s the project that they have site control. I mean they have even a broader pipeline of where they haven’t secured site control for other projects. It’s really -- it’s been amazing to watch and see, and I feel very positive about their progress. I don’t -- it’s not appropriate for me to get into specific projects or areas as I think they’re a private company, they do that as commercially sensitive information. But I can just share with you that these guys are pros and they’re hitting on all cylinders right now.
Operator: Our next question comes from the line of Jonathan Lamers of Laurentian Bank Securities.
Jonathan Lamers: Just on your comments on the letter of credit facility, I thought those were interesting. Can you expand on why the opportunity you see on the interconnection deposits is essentially risk-free for GBR and ARR?
Frank Getman: Sure. Because the way it works is when you put a deposit to secure your place in line, it’s fully refundable until such point as they start doing work and they start deploying the capital and start building out the infrastructure. At that point, it becomes either in part or fully nonrefundable. There’s usually a 9- to 12-month period where these deposits are being held to secure your place in line and it’s fully refundable. So that’s why I use the word risk-free. And -- but the mechanism of how that works, everyone -- MISO just came out with [indiscernible], PJM has adjusted its model and its interconnection process. And the numbers, the sheer dollar amount that’s being required has gotten so large that a number of developers simply just don’t have the capital and they’re facing having to use equity capital to fund fully refundable deposits, which isn’t a great use of capital, it ties up capital. So the opportunity for us is we negotiated with the banks to have the LC facility. And it’s not that it’s a cost of capital to us that is well below the 6.5% on the debt because we can only use it on fully refundable deposits, so it is secured to the bank as well. But that -- because the process is complicated, there’s not enough capital in the market, I think we can earn a nice spread on that capital. And then ultimately, right, we’re a royalty company. So ultimately, our objective is to get options on these projects as they move forward, that as they go forward, we’d have an option to acquire a royalty at an attractive price. In some ways, we borrowed the concept that emerged from the Enbridge acquisition where we have that option to be able to acquire royalties that aren’t needed to hit our return, [indiscernible] in the pool, we have an option to acquire those at an attractive discount rate. We borrowed that concept, but I love that concept. So we borrowed it and trying to apply it into the interconnection world. And I think we haven’t done it yet, but we frankly didn’t have the capital to do in yet. So Zach is working hard on it. He’s been out to MISO. He’s been outset in their offices and the devil truly is in the details in this interconnection world. And I think we understand as well as anybody right now, and we’re trying to leverage that knowledge and now the capital to be able to support these developers and posting these deposits.
Jonathan Lamers: Okay. That’s great commentary. Just if I can follow up on the 2023 guide, it’s reiterated in the royalty press release, merchant power prices appear to have been pretty favorable in the last few weeks versus prior year. How are you feeling about merchant power prices and your ability to deliver on the revenue guide for ‘23?
Frank Getman: Well, we still think that range, and we’re comfortable with that range. We had a great summer, actually into early fall was really strong as well. We’re seeing pockets. You don’t need a whole lot of megawatt hours if you’re talking $1,000 a megawatt hour or whatever it might be to make up the revenue in a hurry. Going forward, your guess is as good as mine as to exactly where merchant prices are going to be, but I will tell you that they’re going to be tied at least for the foreseeable future to natural gas prices and we’re seeing natural gas prices appear to have bottomed. They move back up over $3 now. So they’re starting -- there’s an interesting dynamic in the natural gas market where natural gas companies are trying to price off of -- price LNG offering where the gas is going and not the Henry hub price where it was being generated and supplies. And they’re having some success, which I think over time would create upward pressure on natural gas prices, which would be great for merchant power prices as well.
Jonathan Lamers: Okay. And there was a note also that achieving the guide depends partly on a local transmission upgrade at Titan Solar in the release of next year to grow in Q4. Do you have any visibility as to whether that will be completed? Or is it something you’ll just kind of find out once it happens?
Frank Getman: The work is -- yes, no, we’re confident it should happen. We should get that, that should be released because the work to our understanding has been completed. And it’s really a question of demobilizing and energizing the line and get it going. It looks like all the work has been done. We actually expected it to have been done by now, and I think so did Longroad. And I think that we have every reason to think it’s going to get down and release by the end of the year, but that is -- it’s about $1 million. So it would be -- if we didn’t have that, then we would fall short, but I think we have every reason to expect that it will be released.
Operator: Our next question comes from the line of John Mould of TD Securities.
John Mould: Maybe just on your pipeline and focus on royalties in the operating side, you’re clearly confident on what that pipeline looks like given that you moved ahead with the secured facility, what catalysts are you seeing right now for operators to want royalty financing? Is it still carving out more merchant exposure? Is it funding for repowering? Is it bespoke reasons in every case? What dynamics are you seeing right now driving deal flow for operating royalties?
Frank Getman: Yes. It’s kind of all of the above, and it’s in every case, it’s something bespoke to that project usually and/or the Operator where the operator maybe has upgrades or things that wants to do that they can’t fund because it really can access the debtor equity markets right now. So it’s looking for new sources of capital. It could be someone who has a hole in their capital budget next year because the current market conditions have changed if they want to continue to progress. So we’d be able to provide them capital in exchange for a royalty on an operating project. I mean like it may not be -- it doesn’t necessarily -- well, could be, but it doesn’t necessarily have to be that our dollars are tied to that project so long as we get a royalty on an operating project, if you follow what I’m saying. So that’s something a more corporate level of financing that -- but then in exchange, we get operating royalties is something that the current debt and equity markets have kind of created an opportunity for that, which I would say that opportunity really wasn’t there 12 months ago. And then on the merchant side, people saw what happened this summer. I think there is a desire for some exposure to merchant pricing to market prices. I also think there’s still some yearly projects that haven’t really fully settled up and recognized the extent of the losses and how they might restructure it moving forward. That was a great opportunity for us with Northleaf. There still a few projects that haven’t figured that out yet. So it’s kind of all of the above. And so -- but it won’t be -- I think like I did mention that we’ve looked at several now where there was like a perfect project that had a long-term 20- or 30-year PPA, bus park PPA, they’re going to still be able to access the debt markets. So I don’t think those aren’t great opportunities for us, and I actually frankly don’t want to sit behind a budget that as a royalty holder even on an operating project.
John Mould: Okay. And then just in terms of scale and when you think a little bit about how much capital you’re willing to put into one investment, what’s the range of checks you’re hoping to be able to write with this financing secured for operating investments in terms of size?
Frank Getman: Yes. Well, I think we’d like to be able to deploy all of it, right, because it’s operating or a healthy portion of it into operating projects, particularly, if there has been any kind of delay in our developer deals, which has been in those coming online, near-term cash flow that bridges to those projects coming online makes a lot of sense. So that’s something that we’re looking at. And as far as the check side, it’s very deal-specific. So it’s really hard to say in any single one. We are also looking at other ways that we can structure the deals to protect ourselves, maybe we front-end load cash flow. There’s different things we’re looking at that we might consider for a specific project or the head-merchant exposure and things like that. So it’s all kind of very deal-by-deal specific.
Operator: Our next question comes from the line of Eli Rodney of National Bank.
Eli Rodney: Just filling in for Rupert here. You mentioned a big backlog of investment opportunities. Any market look good in particular as far as ISOs and anything getting close to the strike zone outside of the U.S.?
Frank Getman: I think it’s across the board as far as the different -- all regions are very, very active. So it’s -- I’d say, we’re seeing activity across the U.S. The -- as far as outside the U.S., I think we’ve had some conversations with some projects in Canada. So I think that’s probably would be the most near-term thing that we think about as far as projects outside the U.S. We do have exposure through our equity ownership in Bluestar. I know that they’ve -- Bluestar has done 1 deal in Australia, and they set up a team there. So we have exposure to the Australian market through our equity investment in Bluestar, not directly as a royalty holder, but that’s something that frankly, Dalton and I discussed that at some point in the appropriate time, it might make sense for Great Bay to look to providing royalty capital directly to one of their projects and there was something that made sense for both parties.
Eli Rodney: Right. Okay. And then on TGE, you mentioned they’re one of the few that continues to press forward viewing the sort of tight financing environment as an opportunity. But you also mentioned that operating assets are the main focus right now. So in your view, how much more investment could you see in the TGE pipeline? And what would the timing of that look like?
Frank Getman: Yes. This is an important point for folks to recognize is that we had no further funding applications to TGE. The hundreds of millions of dollars that Enbridge is spending on their portfolio to advance their entire portfolio, we’re benefiting from that, but we had no further funding obligation. So we won’t be putting any more money into Tri Global. Yes, we’re going to get the benefit of them advancing their pipeline. And the first projects that come out will be credited towards our return threshold. And once that return threshold is hit, then we will have an option to acquire -- and it’s roughly a 6 gigawatt portfolio that we have royalties on. So right now, we’re projecting about half of it will be needed for hitting our return. But the other half is future deployment into the cash flow and deals, but we wouldn’t have to exercise that option until COD, until they’re operational. And we’re using the same return -- we’re using the discount rate and valuing those and what we’re going to pay. We’re using the same return threshold that we have for our underlying deal, which was used at the development stage. So it’s an attractive discount rate. And so we think that, that’s a fantastic opportunity and it would be perfect. If we haven’t utilized the Delayed Draw by then that would be a perfect situation to use the Delayed Draw would be to use that capital to acquire those projects. So probably that won’t happen within the time frame -- the 3 years’ time frame.
Eli Rodney: That’s perfect. So I guess to summarize, taking a bit of a wait-and-see approach after the gigawatts that come on to meet your target return based on invested capital to date.
Frank Getman: Yes. It’s -- we have an option. It’s not an obligation to acquire those projects. So we’ll look at it at the time. If interest rates have gone to 15% and the price of the -- the price -- our option price isn’t attractive, and we wouldn’t exercise it. But if they are where they are today or lower, then it would be very much attractive and we would like to exercise that option.
Operator: [Operator Instructions] And our next question comes from the line of Devin Schilling of PI Financial.
Devin Schilling: Most of my questions have been answered here. But maybe just on your current G&A, are you guys happy with current staffing levels? Or do you think you may need to add some bodies here, I guess, to meet your capital deployment target over the next couple of years?
Frank Getman: Yes. We’re looking at -- to bring a controller-type person to handle some of the back office and accounting functions. We get support today from ARR, and that would continue. But even on our side, there’s a fair amount of work that needs to be done before we deliver the financials up to ARR. And I think a lot of that falls on [indiscernible] right now, and that’s not the highest and best use of his talent. So we’re trying to backfill there and get a controller in here and then we also think an investment answer someone can help support the deal flow, a more junior associate would make sense as well, but that’s largely it.
Operator: No further questions at this time. So I’ll hand the call back to Flora Wood. Please go ahead.
Flora Wood: Thank you, Jerry. And thank you to everybody, for those questions. They were excellent questions. Thank you all for listening in, and we look forward to speaking with you again at year-end.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you disconnect your lines.